Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q2 2020 Fulgent Genetics Earnings Conference Call. At this time all participants are in listen-only mode. Later, we will conduct a question and answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the call over to your host, Ms. Nicole Borsje, with Investor Relations. Please go ahead ma’am.
Nicole Borsje: Great, thanks. Good afternoon, and welcome to the Fulgent Genetics second quarter 2020 financial results conference call. On the call today is Ming Hsieh, Chief Executive Officer; Paul Kim, Chief Financial Officer; and Brandon Perthuis, Chief Commercial Officer. The Company's press release discussing its financial results is available in the Investor Relations section of the Company's website, fulgentgenetics.com. An audio replay of this call will be available shortly after the call concludes. Please visit the Investor Relations section of the Company's website to access the audio replay. Management's prepared remarks and answers to your questions on today's call will contain forward-looking statements. These forward-looking statements represent management's estimates based on current views and assumptions, which may prove to be incorrect. As a result, matters discussed in any forward-looking statements are subject to risks, uncertainties and changes in circumstances that may cause actual results to differ from those described in the forward-looking statements. The Company assumes no obligation to update any of the forward-looking statements it may make today to reflect actual results or changes in expectations. Listeners should not rely on any forward-looking statements such as predictions of future events and should listen to management's remarks today with the understanding that actual events, including the Company's actual future results, may be materially different in what is described in or implied by these forward-looking statements. Please review the more detailed discussions related to these forward-looking statements, including the discussions of some of the risk factors that may cause results to differ from those described in these forward-looking statements contained in the Company's filings with the Securities and Exchange Commission, including the previously filed 10-Q for the quarter ended March 31, 2020 which is available on the Company's Investor Relations website. Management's prepared remarks, including discussions of earnings and earnings per share contain financial measures not prepared in accordance with Accounting Principles Generally Accepted in the United States or GAAP. Management has presented these non-GAAP financial measures because it believes they may be useful to investors for various reasons, but they should not be viewed as a substitute for/or superior to the Company's financial results prepared in accordance with GAAP. Please see the Company's press release discussing its financial results for the second quarter of 2020 for more information, including the description of how the Company calculates non-GAAP earnings and earnings per share and a reconciliation of these financial measures to income and income per share, the most directly comparable GAAP financial measures. With that, I'd now like to turn the call over to Ming. 
Ming Hsieh: Thank you, Nicole. Good afternoon, and thank you for joining our call today to discuss our second quarter 2020 results. I will review the highlights from our second quarter before handing over to our Chief Commercial Officer, Brandon Perthuis, to provide updates on our commercial success and the go-to-market strategy. And finally, Paul will discuss our financial results and our outlook in detail. Before I comment on our market strategy and business, I of course want to start by saying our hearts goes to those who have been impacted by the COVID-19. We are in together and we are doing as much as we can to drive this pandemic by offering our service which are critical for detection and follow point-of-care enable isolation in the proven – spread and provide the contact and treating information to enable authorities to implement coordinate the policies.  The unforeseen demand of this year have brought the need for testing capacity into the couple public spotlights more than ever. Moreover, the urgency of this pandemic has pushed the limit of testing capacities across our industry, specifically, organizations have been challenged to research and develop new integrated testing capabilities and compress the timeline. While navigating the FDA approval process and scaling production on an accelerated timetable with the new public health and the social distance mandates in mind, ultimately many companies across our industry have gone through this process to serve the greater needs for the public health, solutions to fight both governmental and commercial customers.  The global COVID-19 has also proven Fulgent is as a company. We are a technology company with a proprietary technology biopharma built for massive scale. For those who have been following us from the years, we have said on site that our technology platform is a differentiator between ourselves and other companies in the industry.  And this is now being shown in our financial and operational results. With a strong – and a minimum investment, we are able to organically develop and launch multiple tests for COVID-19 received validation by the FDA on multiple tests and win major accounts of which has caused the major inflection point in our business and our outlook.  Our second quarter reported test volume increased approximately 1300% or 13 fold from our first quarter and we anticipate continued accelerated growth for the second half of the year which Paul will go over in detail on our guidance.  On our last call, we commented that, our traditional genetic testing business might be down approximately 25% to 30% in Q2. However, given the incremental business we saw on signing additional strategic customers in the quarter and a record rebound from our existing customers during the month of June, volumes ordered from our core business in Q2 was flat with what we saw in Q1 even with the uncertain regarding lockdowns throughout the various industries, our traditional businesses continue to gain momentum in July and we anticipate healthy growth in the second half of 2020.  Our COVID-19 business has surpassed our most augmented expectations to the large and growing need for testing our quality, ability to meet and exceed customer expectations is enabling us to be an essential part of the program and the initiatives by large organizations, we saw countless opportunities with these customers beyond the COVID-19 in a wide variety of those markets. They use our technology and the service. I want to spend a few minutes to stress the unique of our technology platform which is based on the technologies on the high throughput computing software industry, the core software team has extensive experience in developing innovative programs for processing power and the database management. This highly complex orders are the core of our technology. The key engineering team is further working in the field of artificial intelligence using innovative hyper pipeline and a massive computing architecture apply data flow technology, enable high speed computing which easily scales the teams also – the information fusion technology which in with the data mining and fusion technology included system integration tools and the techniques to integrate information from a large and saturated systems. Fusion technology uses deep learning technology at once the workflow and architecture to develop customer workflow and seamless integration of the customers’ IT environments. With our technology in software engineering, fusion developed its technology platform for healthcare industry. Recent unforeseen events of COVID-19 and overwhelming demand for our service has the strength of our technology platform and we were pleased with the results. We have already developed and launched the test one major customer who seen the benefit of our platform in providing greater automation, security, reliability, quality and efficiency. We have scaled up our operation on approximately 15,000 tests per quarter to 180,000 in Q2 and on track to reach over 700,000 in each coming quarters.  Our technology is now the cornerstone for all facets of our business, including cloud computing, pipeline service, record management, web portal service, clinical workflow, sequencing as a service and automated laboratory information management systems in addition to our superior technology we have a great team that had enabled us to success in this challenging environments. We have a technology team who have prior experience in developing and servicing numerous contracts exceeds $100 million each in previous times of global crisis during the attack of 9/11 in 2001. We also have a management team who are experienced officers and have skilled businesses prior to Fulgent. Our headcount has grown from almost 150 people at the beginning of 2020 to over 300 people today. We have been able to digest hybrid demand for our services by leaning on senior business operators who can successfully orchestrate supply chain management, operational logistics, quality controls, data security and the intensive customer exploitations in a time of crisis and shortage.  As evidenced by our volumes, we made material strides in our operation capabilities including capacity we also brought into our go to market strategy with the launch of COVID-19 at-home tests, in addition we received remarkable EUAs from the FDA during the quarter, have remarkable EUAs pending and more EUA applications will be filed in the near future. Moreover, while making greater traction in the reimbursement market, we should also have fueled our traditional genetic NGS business.  I will now turn over the call to Brandon who will cover business areas in further details. Brandon? 
Brandon Perthuis: Thanks, Ming. This quarter, more than ever, we demonstrated the power of the Fulgent technology platform and we played a meaningful role in the fight against the COVID-19 pandemic. At this time, we’ve received two EUAs from the FDA. One for our RT-PCR test which is administered by providers and a second for our at-home COVID-19 test Picture by Fulgent which we launched in June.  We have additional EUA spending and we will issue updates as it become available. At this time, Fulgent has an impressive array on COVID-19 customers from some of the largest municipalities in the United States, to Fortune 100 companies, large specialty care companies with thousands of locations, large hospital systems with hundreds of locations, assisted living facilities across the United States and many more.  In addition, we recently just won a competitive RFP to provide testing for student athletes for a major NCAA conference. Clients are choosing Fulgent because we have EUA approval, our turnaround time is consistently among the top in our industry with a median timeframe in delivering reports within 24 hours from receipt of the sample. The availability of our custom COVID-19 portal for both ordering and reporting and our rapid ability to interface the H07, API or other methods. As an example to layer, we were able to interface with large municipalities in less than three days, We now have numerous clients sending thousands of COVID-19 samples per day and still have a bandwidth to serve small clinics in addition to these large organizations. Operationally, it’s been an impressive overhaul.  We are now running 24 hours a day, seven days a week, as – we’ve doubled our company headcount in the last three months to over 300. We’ve scaled COVID-19 capacity from a couple thousand tests per day to 10,000 per day and now 30,000 per day. Our points continue to scale to meet the existing and future demand for testing. To support this capacity, we have secured guaranteed contracts with key suppliers.  While managing such a dynamic supply chain has been a challenge, we have had zero supply chain constraints as a result of our contract and strong relationship with our vendors. We have accomplished this while still maintaining and delivering on the largest genetic testing venues in the industry now over 18,000 tests strong.  A challenging area that our high volume customers have identified has been managing our logistics and the reporting. This has been the case for testing sites for drive-through testing sites, as well as large corporations who want to do routine testing of their employees. To help our clients and to allow for them to be a more integrated part of the process, we have rolled out three end-to-end web-based solutions.  The first solution is Fulgent Community COVID-19 platform. This is a complete solution for managing drive-through and walk up testing sites from the patients visiting our website, picking a location, gathering appointments, completing test questionnaire, et cetera. This new solution allow the administrators of the sites to set a number of lanes, the number of available time slots, and manage the collection process.  On the back-end, we are reporting solutions that will report directly to patients’ mobile phones. It also include key amounts in contact tracing functionality. Today, San Bernardino County, Los Angeles County, the City of Long Beach, Santa Clara County and Orange County are all using this new platform to run their drive-through and walk up testing sites. The second solution is the Fulgent Enterprise COVID-19 screening platform. This is an end-to-end solution for companies who want to do routine repeat testing. We have built the solution where Fulgent provides locations with our new platform, a barcode scanner, pre-barcoded tubes and collection materials. An employee can simply approach the customer station, scan their employee badge or other identifiers, self-administer a simple nasal swab and drop into a collection box to be sent to Fulgent.  A mobile version of this solution is also available which allows the same operation to be completed using mobile device either online or offline. 24 hours later, the reports are electronically delivered to the employees.  The third solution is Picture COVID-19 for partners. This solution is based on the FDA EUA home collection COVID-19 test. Organizations can order Picture COVID-19 test in bulk and they can manage the bulk order and results via the Picture COVID-19 partner portal. This solution is particularly suited for schools, where students need to be tested before returning to campus.  We believe these solutions are a powerful example of our technology platform and our ability to rapidly develop new solutions and products with a floor using these platforms to drive deep relationships with our clients. The demand for COVID-19 services are strong and the pipeline for additional customers is quite remarkable.  In addition to our critical COVID-19 clients, we are seeing traction for our Picture at-home COVID-19 test. Patients are appreciating the convenience of an at-home test and it’s a great resource to conserve valuable physician signs and PPE. We initially launched this service at a $119 cash price. However, we recently started to accept insurance and are only charging $39 out of pocket which covers the cost of the kit and the bi-directional shipping.  This new insurance component includes the upfront automated verification benefits and is integrated with our revenue cycle management system for simplified filing and insurance claims. This is just another example of how the innovative Fulgent technology platform drive efficiencies across our entire organization.  We believe this reduced price and the convenience factor will drive continued adoption. In addition to COVID-19 testing, we continue to offer multiple tests through our Picture platform including Picture Newborn, and expanded newborn screening products, Picture Parenting, career test for those looking to start or add to their family and Picture Wellness, assess for those who want to learn more about the genes linked to medically passionate conditions. We see Picture as a platform to make genetic testing easier and faster to access and we believe it will be a powerful delivery model in the future.  Over the last few months, much have changed regarding our go to market strategy that’s been incremental to the business and focus we have had over the last year. During Q2, we added significant number of new accounts on rare disease, reproductive health, hereditary cancer and cardiovascular genetics. These new opportunities are a result of our increased commercial strength, rapidly expanding test menu, and competitive pricing and turnaround times.  As Ming mentioned, even with the unprecedented disruption our country has faced, our core business orders were essentially flat for Q1 as a result of a rebound in orders in June in the addition of several new accounts. And with our increased customer base and opportunities, we expect to return to growth in the traditional genetic testing business as the country continues to fully reopen.  The other area of our business that continues to gain momentum is our sequencing as a service. This has also seen a boost from COVID-19 and mention with the sequencing test as many organizations look to sequence a genome of SARS-CoV-2.  We also see material positive developments on the reimbursement coverage from commercial payers and this has been driven by the validation of our tests, quality of offerings, closer coverage by our customers, tremendous volume trajectory in our business and capabilities.  Over the coming months, we will remain laser-focused on delivering quality COVID-19 testing, expanding our COVID-19 capabilities and maintaining a 24 hour turnaround time, while continuing to expand our non-COVID-19 business with the acumen of new clients, expanded test usage from the existing genetic testing clients, leveraging our expanded go to market strategy including at-home testing and additional coverage from commercial insurance payers.  I’ll now turn the call over to Paul to provide the details on our financial performance in the second quarter, as well as provide updates on our outlook. Paul? 
Paul Kim: Thanks, Brandon. Second quarter revenues totaled $17.3 million, an increase of 105% compared to the second quarter of 2019. Our U.S. business remains the most significant driver of our momentum. The revenue from the U.S. grew 141% year-over-year in the second quarter, representing 93% of total revenues in the quarter.  Billable tests in the quarter totaled 180,500 growing 1003% over Q2 of last year. The vast majority of the volume was our business related to COVID-19. Our ASP in the quarter was $96, decreasing 84% from the first quarter. Cost per test for the quarter was $43 on a GAAP basis, and $41 excluding equity-based compensation of 270,000. Our gross margin improved 8 points sequentially and non-GAAP gross margin improved 6 percentage points sequentially. The primary reasons for the decrease in cost per test were due to the heavy mix of COVID-19 volume. However, even with the heavy investments in our operations, including equipment, personnel, our gross margins improved notably from the prior quarter due to the utilization of our technology platform.  Now turning to operating expenses. Non-GAAP operating margin improved approximately 34 percentage points sequentially to a positive 21.5%. So we made aggressive investments across the board in all facets of our organization including operations, sales, marketing and G&A, the power of our technology platform proved to be extreme leverage within our business model. We believe this leverage is just a beginning of what’s in store for the remainder of the year.  Our total GAAP operating expenses were $6.9 million for the second quarter, up from $5.6 million in the first quarter. Non-GAAP operating expenses totaled $6.1 million, up from $4.9 million in the last quarter. In a single quarter, we have already fully recovered the investments that we made in our COVID-19 test research, development and offerings and since the beginning of the year, we look forward to the handsome return on these investments going forward.  Adjusted EBITDA loss for the second quarter was $4.3 million, compared to $1.5 million in the second quarter of 2019. On a non-GAAP basis and excluding equity-based compensation expense, income for the quarter was $4 million or $0.17 per share, based on a $22.9 million weighted average diluted common shares outstanding. Turning to the balance sheet, we remain comfortable with our cash and liquidity position. We ended the second quarter with $66.4 million in cash and cash equivalents and marketable securities with no debt.  Now moving on to our outlook. We see this quarter as an inflection point in our overall business. We see the strength in our traditional genetic testing and opportunity in sequencing as a service business. We see good traction from reimbursements and we see high demand for our Picture platform. And we see very high demand for our COVID products and services.  Most of all, we are seeing our customers appreciating our clear differentiation by the application of our technology platform. We made overall testing more affordable with average ASPs now below $100, combined with our robust offering and quality which is creating more demand and view our technology platform, we are able to exponentially ramp up capacity, maintain turnaround time within 24 hours and operate a business which is generating returns for the shareholders.  As Ming mentioned, the recent global crisis have stress tested the viability of many business models and the same stress has elevated Fulgent’s technology and science to the forefronts as a shining differentiator. Based on the explosive demand we are seeing from the market and the quality of our customers, we continue to see the upward trajectory and transformation of our business continuing for the balance of 2020.  We now project test volumes for the year to be over $1.3 million, which translates into over $120 million in revenues. With the extreme leverage in our model, that translates into expanding GAAP net income and exiting stock-based compensation, that as non-GAAP income of approximately $25 million or approximately $1 per share for our shareholders in fiscal 2020.  Because of that transfer made to the expansion of our business, and our expected outlook ahead, we recently entered into a purchase agreement for a 62,000 square foot building for approximately $15.4 million in El Monte. This building is on the same street and less than a mile away for our Temple City building. For several years, we have leased a Q4 in the El Monte location for software engineering and administrative departments and we are very familiar with this building.  With more than double the space of our Temple City building, the extra room and configuration should bolster capacity and efficiency in our operations by factor of at least 200% compared to our Temple City building translating into a eventual 60,000 tests per day in total.  We will maintain our lab in Temple City, which currently has a capacity of 30,000 tests per day. Hence the El Monte building will be an expansion of our footprint in the Los Angeles area. But based on our previous experience, as an advice from our previous experience with business operators, Ming, myself and our CRO have been through a similar situation at our prior company Cogent Inc.  Post events of 9/11, we utilized software to differentiate and leverage our business in a time of crisis and stress. We implemented numerous systems for global clients, well in excess of $100 million per implementation. We have 20 plus quarters of process and returns for that business consistently delivering operating margins of approximately 25% to 30%, which generated over quarter billion dollars of cash to our balance sheet at that former company.  As a final note, we appreciate our patient shareholders who have had facing us over the last four years since going public, and we look forward to sharing updates to our business in the future quarters. Thank you for joining our call today.  Operator, you can now open it up for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Sung Ji Nam with BTIG. Your line is now open. 
Sung Ji Nam: Hi. Thanks for taking the questions. Congratulations on a phenomenal quarter and also thank you for everything you guys are doing around COVID testing. Maybe just a few questions in COVID testing, I was curious about just the different offerings you have – the three end-to-end web-based solutions. As you look out for the balance of the year and beyond, how do you see those the mix of the three different types of, I guess, sources for testing opportunities? Will it be a pretty evenly spread situation? Or do you anticipate more volumes through one of those more than others? 
Ming Hsieh: Brandon, why don’t you take the call first?
Brandon Perthuis: Yes, certainly. Thank you, Sung Ji. To your questions, we actually probably have more than three different options at this point, but let’s focus on sort of the three main modalities which is sort of the professionally administered test like from a hospital or a clinic, the drive-through and in the walk-up and the at-home testing, and we’ll add towards the back-to-school and back-to-work program. So, currently, we are seeing a lot of volume from the drive-through testing facilities which are been run amazingly by these municipalities, getting a lot of people access to testing they need. But looking forward, as the country continues to reopen, we are seeing tremendous demand and necessity for back-to-work and back-to-school testing. So, we have actually developed the two platforms to assist that. Here at Fulgent we test our employees every day on one of those platforms. It’s extremely convenient. So I think the back-to-work and the back-to-school is probably going to be one of the larger growth areas for COVID-19 testing going forward. We think that’s incredibly important to continue to fight this pandemic for contact tracing, for monitoring. We are seeing large corporations that want to test their employees once a week, sometimes three times a week and these solutions that we’ve built make it so easy for them to do that. Welcome to a test station, scan their employee badge, scan the tube, swab yourself, walk away, less than a minute per employee. So I think we are really excited to continue to help with the back-to-work and the back-to-school, helping our teachers, helping our students and maybe turn it back Ming if he has any additional comments. 
Ming Hsieh: I think that in addition we do offer the IgG, IgM serology type test for the labs. We also continue in terms our NGS capabilities for the research organizations, as well as the pharmaceuticals. So, we have seen a lot of opportunities ahead of us in the pandemic to fighting in the business pandemic. Of course we continue adding our capabilities and we will update this to Wall Street as far as our new initiatives. 
Sung Ji Nam: Fantastic. You guys answered a lot of my questions on COVID, but maybe one follow-up on the routine testing. It sounds like there is a lot of variability in terms of how different organizations, institutions are implementing that. Is that the case in terms of are there lot of variability across different routine testing strategies? Is there – are there recommendations in terms of what’s ideal? If you could kind of walk through that that would be helpful. 
Brandon Perthuis: Yes, it’s a great question. I think there is some sort of general practice guidelines that are out there. But we see a lot of variability. Some companies wants test every day, someone test three times a week, once a week. So we see some variability there. One of the things that’s really been differentiated here at Fulgent is the fact that we do have one of the only FDA approved at-home test. But not only do we test the employees at their place of work, employees that work from home or perhaps employees that have tested positive in the past, and we will mail a case to their house for routine monitoring until they get a negative result. We can do that. So, I still think the country is trying to figure out perhaps the best testing protocol, how often to test, how to administrate, but most importantly, we’ve developed multiple different platforms and solutions to make potentially all of them much easier. 
Ming Hsieh: And then, Sung Ji, we also work with our partners. We are not the only ones, we are one of few that I would call to offer a fully end-to-end at-home test collection, the processing and then sending result back. We also have a partner. They are individually certified with their at-home test kits. And both organizations also partnering with us. We provide the back-end service. We provide the processing for several customers in that field. And that every world is a example of how we file the EUA application together they do the front end of collection. We do the back end process. 
Sung Ji Nam: Fantastic. And then just lastly for me, it’s great to hear about the capacity expansion given the significant demand in testing. I was wondering kind of – I don’t know if it’s premature to think about it, but how do you guys see the sustainability of COVID-19 testing beyond this year? And as you are building out the capacity, are their strategies, in terms of obviously it sounds like you know there has been pretty minimal investment on your part, but at the same time, as you look out further, are there strategies to redeploy the capacities that you have rather applications in the future. I was just curious what you guys are thinking at this point. Thank you. 
Ming Hsieh: Sung Ji, this is good question. Technology has enabled us to do many opportunities. We are ready for the currently processing the COVID-19 as the infection rates decreases, we could do a similar footing as some of the other large legs try to result the capacity – currently we do not have capacity issues. We could easily expand in our capacity. A, we do not counter any single vendor in our supply chain, we do not have a material shortage. We do not have reagent shortage issues. And as a matter of fact majority of reagents we produce ourselves. Okay, so, that is a area. The second thing is, just scaling the COVID-19 and this – the valuation could have come and also potential other infectious diseases coming, we have to be prepared for the worst before we see rather something better. In those events, we have a new technology for filing more EUAs to prepare for pricing those potential outbreaks. And in terms of – in general, our technology is already is conceding people in this industry, spend hundreds of millions of dollars, try to open up for the insurance of contracts, because admittedly, they worth than the fleet of slot machines, as lived them with slot machines you threw a $100 in, in case for a few seconds to come back you probably have $0.50 coming back. But certain of the companies in different markets you throw $100 in, you didn’t get anything come out. That’s the fact. But our technology during this pandemic, we got the insurance industry. They knew whose operator, who can efficiently to offer this fees, produce a quality results and with a sustainable business model. At a $70 million that we generate across the 20% operating margin, we have continued to – our business or improved our operating margin because of our technology. So we are confident in this space. If the genetics is important and crucial to the healthcare industry, Fulgent genetics will lead the way. We are not only the leader in the technology, but we also demonstrated the business model of sustainability and give the money returns back to our shareholders unlike the people waste in matters of money. 
Sung Ji Nam: Fantastic. Thank you so much. 
Operator: [Operator Instructions] Your next question comes from the line of Steven Mah with Piper Sandler. Your line is now open. 
Steven Mah : Okay. Thank you. Hey guys. Congratulations on the quarter. Good stuff there. 
Brandon Perthuis: Thank you, David. 
Steven Mah : Okay. So, maybe just, I’ll start off with a non-COVID-19 question, but it sounds like your core genetic testing business has hung in there, it’s hung back up to kind of normal levels. Has there been any disruptions with, because, I know, it’s complicated testing and you guys have hired a lot of employees. Any disruptions in getting out your core genetic tests. I know there seem to be a kind of big rush to get the COVID-19 results out, but has there been any impact on the core genetic testing business? 
Ming Hsieh: Yes, this is good question. Yes, Steve, it’s a very good question. The answer is no. Okay. We have maintained our key firm for our traditional genetic business and we have the issues of our production lines for the COVID-19 related businesses. We see those traditional business of TAT as important as our coming COVID-19 related business. Do you have anything? 
Brandon Perthuis: No, I think your response main was – first no, the answer is no even it has been. So the processes are quite different as you can imagine and we’ve done a really good job automating the process in COVID-19. But the short answer is no. I mean, we have continued to meet our turnaround times. We continue to see a rebound in our core business, a combination of some pent-up demand and so bringing on several new customers and good execution by the business and the sales teams. So the last year is – it’s operating just in an incredibly impressive manner. I mean, we did 180,000 tests in Q2 with almost no steps whatsoever and I think arguably, the best turnaround time for COVID-19 in the United States. So, I mean, I am just really proud of the labs, really proud of the operations and look forward to continuing to leverage the technology to continuing to do the first testing. 
Steven Mah : And now that’s great. And then, okay, so maybe moving over to capacity. So you have noted that you are purposing a new building. You said you can scale eventually to 60,000 tests per day. How long should we think about the new building getting up to in terms of getting up to speed? I know you have to get a – it has to be a CLIA lab certified. Can you give us a sense on the timing? 
Brandon Perthuis: Yes, I’ll turn to Paul in just a second, but I will comment on the CLIA license. They’ve actually done a wonderful job expediting CLIA licenses for COVID-19 laboratories. So, actually, it’s just a matter of days at this point if you have an EUA, you are doing COVID-19 testing, so I really applaud them for cutting their tapes and allowing us to get CLIA licenses in an expedited manner. But in terms of the timing of the new facility, I will let Paul take that question. 
Paul Kim: So, Steven, starting from the Temple City location, that location has a capacity of up to 30,000 tests per day. With the new El Monte building, we believe that that has an eventual capacity of up to 60,000 tests per day. But that’s not going to happen all at one time. We think that by the end of the year, we will be able to calibrate the El Monte lab to have a process up to 30,000 tests per day growing to 60,000 as we calibrate and expand that lab. 
Steven Mah : I see. Okay. Now that’s helpful. And – okay, and then on the test break down, I don’t know if you can share this with us. But can you give us a break down of sort of the mix that the COVID-19 test RT-PCR versus at-home versus NGS? 
Paul Kim: Yes. So, I’ll give you a breakdown. So out of the 17.3 million of revenues that we’ve had, I mean, it was about a 60-40 split. 60% of that being COVID and 40% - roughly 40% being non-COVID. And then, within the 60% the vast, vast majority is RT-PCR, the at-home, the Picture, it is getting tremendous demand. We actually think that the growth for that platform might even be higher than what we see for traditional RT-PCR. And then, for the NGS, we do have some business for that, but it’s a very, very small piece. We think that that will grow over time as we make our capabilities known with the pharma organizations. 
Steven Mah : Okay. Alright. That’s been helpful. And then, as you talk about your outlook and I apologize, you have had a bad connection. I think you said, Paul, you have contracts for 1.3 million tests in 2020. Did I hear it?
Paul Kim: No, so, what you – what we have secured the supply chain from all angles, right. So, capacity, as well as supply is not an issue for the company. As far as our outlook for the year, what we said was we project us to do over 1.3 million tests for the balance of 2020, which translates into more than a $120 million of top-line revenues for the company. 
Steven Mah : I see. Okay. 
Paul Kim: So, in other words, if you add up Q1 and Q2, right, we did roughly $25 million of revenue. So that leaves the delta of $95 million for the year for us to make the $120 million. So, we anticipate doing close to $100 million of business for Q3, Q3 and Q4, right combined. And if you want us to get a little bit more flavor on how the trajectory is going to look, at this point in time, we see Q4 being approximately 10% higher than Q3. 
Steven Mah : Okay. Okay. And on the contracts, you guys are signing, school, healthcare facilities, can you give us a sense of how long these contracts are for? 
Brandon Perthuis: Yes. Steve, it’s Brandon. That range anywhere between three months to 18 months. There is a pretty large variety in that. 
Steven Mah : Okay. Okay, yes. That makes sense. So that what I’ve been hearing from others and that people are wanting to lock down their testing. So, okay, so, that makes sense. Okay. Those are all the questions I have. I appreciate you guys taken the time and congratulations again. 
Brandon Perthuis: Thanks, Steven. 
Operator: We have no further questions at this time. Ladies and gentlemen, this concludes today’s conference. Thank you for your participation. Have a wonderful day. You may disconnect.